Operator: Good morning and thank you for joining us today for Hovnanian Enterprises Fiscal 2015 Second Quarter Earnings Conference Call. An archive of the webcast will be available after the completion of the call and run for 12 months. This conference is being recorded for rebroadcast and all participants are currently in a listen-only mode. Management will make some opening remarks about the second quarter results and then open up the lines for questions. The company will also be webcasting a slide presentation along with the opening comments from management. The slides are available on the Investor Relations' page on the company's website at www.khov.com. Those listeners who would like to follow along should log on to the website at this time. Before we begin, I'd like to turn the call over to Jeff O'Keefe, Vice President-Investor Relations. Jeff, please go ahead.
Jeffrey T. O’Keefe - Vice President of Investor Relations: Thank you, Amanda, and thank you all for participating in this morning's call to review the results for our second quarter, which ended April 30, 2015. All statements in this conference call that are not historical facts should be considered as forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Although we believe that our plans, intentions and expectations reflected in or suggested by such forward-looking statements are reasonable, we can give no assurance such plans, intentions or expectations will be achieved. Such risks, uncertainties and other factors include, but are not limited to, changes in general and local economic, industry and business conditions and impacts of the sustained homebuilding downturn; adverse weather and other environmental conditions and natural disasters; levels of indebtedness and restrictions on the company's operations and activities imposed by the agreements governing the company's outstanding indebtedness; the company's sources of liquidity; changes in credit ratings; changes in market conditions and seasonality of the company's business, the availability and cost of suitable land and improved lots, shortages in and price fluctuations of raw materials and labor; regional and local economic factors including dependency on certain sectors of the economy, and employment levels affecting home prices and sales activity in the markets where the company builds homes; fluctuations in interest rates and availability of mortgage financing; changes in tax laws affecting the after-tax cost of owning a home, operations through joint ventures with third-parties, government regulation including regulations concerning development of land, the homebuilding, sales and customer financing processes, tax laws and the environment, product liability litigation, warranty claims and claims made by mortgage investors; levels of competition; availability of financing to the company; successful identification and integration of acquisitions; significant influence of the company's controlling stockholders; availability of operating loss carry-forwards; utility shortages and outages or rate fluctuations; geopolitical risks, terrorist acts and other acts of war; and certain risks, uncertainties and other factors described in detail in the company's Annual Report on Form 10-K for the fiscal year ended October 31, 2014, and subsequent filings with the Securities and Exchange Commission. Except as otherwise required by applicable securities laws, we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, changed circumstances or any other reason. Joining me today from the company are Ara Hovnanian, Chairman, President and Chief Executive Officer; Larry Sorsby, Executive Vice President and CFO; Brad O'Connor, Vice President, Chief Accounting Officer and Controller. I'll now turn the call over to Ara. Ara, go ahead.
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: Thanks, Jeff. Let me get started with our second quarter results, which can be found on slide three. Our net contract dollars increased 5%, despite a slight decline in the number of net contracts we signed. This is due to a higher average sales price primarily as a result of product mix. We successfully opened up more communities during the quarter, and as a result, our active communities grew 6% year-over-year. However, our net contracts per community declined 5% year-over-year, negating the benefits of the increased community count. Our contract backlog was stronger at the end of the second quarter, growing to $1.171 billion. The dollar amount of backlog increased 12% and the number of homes in backlog increased 6%. This growth in the backlog gives us confidence that we'll be able to continue to grow our top line in the second half of fiscal 2015 and improve our performance. Our total revenues grew by 4%. This growth was driven by a 5% increase in average sales price, which was offset by a 1% decline in deliveries. Similar to what we've experienced in other recent quarters, the increase in the average sales price is primarily due to geographic and product mix changes and not related to our ability to raise prices on our homes. Unfortunately, our second quarter gross margin declined by 410 basis points and our total SG&A as a percentage of total revenues increased by 80 basis points. I'll go into more detail about these metrics in just a moment. While we began the year with a year-over-year improvement in our first quarter results, we took a step backwards during the second quarter of fiscal 2015 and our loss increased in the second quarter compared to a year ago. The second quarter of 2015 was challenging for us. As we move forward, we're very focused on generating further growth in revenues so that we can gain more efficiencies. In addition, we're very focused on improving the results of our weaker divisions, and thereby, returning our operating metrics to more normal levels. Let me go into a little more detail about our gross margin and SG&A. And as you can see on the left-hand side of slide four, we show our annual gross margin percentage for the last four years. We're pleased that we made solid progress from 2011 to 2012 to 2013, returning to more normalized gross margin levels of roughly 20% in both fiscal 2013 and fiscal 2014. However, we've taken a step back in 2015. On the right-hand side of the slide, you can see that we reported a 16.1% gross margin for the second quarter, 410 basis points less than last year's second quarter. As we discussed last quarter, we expected the second quarter gross margin to be weak because of offering more incentives and concessions on started, unsold homes, commonly referred to as spec homes. We're not the only homebuilder that recently felt pressure on its gross margin. On slide five, we show all nine of the public builders that reported March quarter end results, all of them had year-over-year declines in gross margin. Five of them had margin declines in excess of 200 basis points and one was similar to our decline. Nonetheless, it doesn't make us feel great about our decline. On slide six, we show a trend of increasing the number of specs per community from the second quarter of 2014 to the fourth quarter of 2014. As we explained during our analyst call last quarter, we believe we were too aggressive in our spec starts, especially in certain geographies and communities. We took action to reduce our specs with special incentives and concessions. Unfortunately, as you would expect, that took a toll on our margins. However, we made progress on our goal of reduction. The number of specs per community declined to 4.1 specs at the end of the second quarter of fiscal 2015, which is below the recent peak of 4.7 specs per community at the end of the fourth quarter of fiscal 2014. Let me explain the negative impact that specs had on our gross margin during the second quarter and why we think the gross margin will improve during the remainder of fiscal 2015. Turning to slide seven, our gross margin during the second quarter of 2015 was less than we thought, primarily because of additional incentives and concessions, as I said earlier that we offered on specs. The following numbers exclude Houston where our gross margins continued to improve during the second quarter. Margins on our to-be-built homes declined 220 basis points during the second quarter of fiscal 2015 compared to last year's second quarter. Relative to our peers' margin declines, our decline in gross margins on to-be-built homes would have put us in the middle of the pack. However, margins on our spec homes declined two times that amount or 450 basis points over the same time period. You can clearly see from these numbers that the bulk of the pressure on gross margin was from spec home deliveries. Furthermore, the percentage of deliveries from spec homes in the second quarter increased to 52% in this year's second quarter from 42% in last year's second quarter. It's difficult for spec homes to be sold with lower gross margins than to-be-built homes, but the increased incentives we offered over the last six months exacerbated the typical spread. Because 25% of the deliveries were specs sold during the quarter, the impact was greater than we anticipated when we provided guidance during our first quarter conference call. Spec deliveries in the second quarter of 2015 increased to 52% of our total deliveries from 46% in the first quarter. Given the current level of specs and our expectations for specs per community going forward, we believe the percentage of quarterly spec deliveries will gravitate back to the low 40% range over the next several quarters. Turning to slide eight, we show that the discount on spec homes compared to to-be-built homes was 250 basis points during the second quarter of 2014 and that we increased the discount on spec homes compared with to-be-built homes to 480 basis points during the second quarter of 2015. The discount on specs compared to to-be-built homes appears to have peaked this quarter. It was 230 basis points higher than it was in the second quarter a year ago. Clearly, you can see that we are aggressive in taking action to bring our spec position into better balance by geography and by community. Last quarter, we warned you that we were increasing incentives on our specs. Now, I'm happier to say that we are scaling back our incentive and concessions that we are offering on spec homes, and we've already begun to see the spread trending toward normalized levels. The trend of fewer specs as a percentage of total deliveries and a more normal spread between specs and to-be-built homes should lead to sequential improvements in gross margin in the final two quarters of fiscal 2015. It should also lead to an improved gross margin in fiscal 2016. Now turning to slide nine, you can see that our SG&A as a percentage of total revenues increased year-over-year during the second quarter of 2015 to 14.7 % from 13.9% in last year's second quarter. The majority of this increase was related to our efforts to grow our community count, including higher compensation costs related to increased staffing and increased architectural expenses. Once these new communities begin to deliver, we expect to further leverage our fixed SG&A expenses. Our SG&A ratio for the full fiscal 2015 year should be similar to last year and should decline in 2016. On slide 10, we show our annual total SG&A expense as a percentage of total revenues going back to 2001. We consider about 10% as a normalized SG&A ratio. As we continue to generate further revenue growth and achieve more normalized sales pace per community, we expect to be able to leverage our fixed SG&A expenses further and get this ratio back to normalized levels of 10%. As we've said in the past, it's not going to happen overnight, but we will continue to make progress to bring this number down over time. I'll now turn it over to Larry Sorsby, our Executive Vice President and Chief Financial Officer.
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: Thanks, Ara. Turning now to our current sales environment on slide 11, we show the dollar amount of our consolidated net contracts per month for each of the past 12 months. The most recent month is shown in blue, the same month of the previous year is shown in yellow, and we used green arrows pointing up to indicate an increase and down red arrows to indicate a decrease. Driven by the combination of increased community counts, and more recently, stronger sales result, 10 of the past 12 months have had year-over-year increases. In May, the first month of our third quarter, we saw an increase of 18.6% in the dollar amount of net contracts. While slide 10 showed the dollar amount of net contracts, slide 12 shows the number of monthly net contracts per community. While there have been more positive than negative monthly comparisons recently, the market still seems a bit choppy. If you take a step back and recall the steps that we took in the spring selling season of 2014, some of the fluctuations for us make sense. In March 2014, we did a national sales promotion called Big Deal Days. It was highly successful and we had 3.4 contracts per community during the month of March 2014, making that a very tough year-over-year comparison. But it likely pulled demand forward because we fell to 2.9 contracts per community in April 2014, which created an easier comparison for the same month this year. So it should not be a surprise that net contracts per community declined year-over-year in March 2015 and increased in April 2015. With sales promotion or no sales promotion, the market still feels a bit tentative right now. On slide 13, we try to put the current sales situation into perspective with a longer-term view. The dark-blue bar shows the average net contracts per community for 1997 through 2002, a period of neither boom nor bust times. Then in yellow, we show net contracts per community bottoming in 2011, followed by two years of improvements in 2012 and 2013. Surprisingly, we in the homebuilding industry took a step backwards in sales pace per community in 2014. Looking at the light-blue bar, it shows that the seasonally adjusted trailing 12-month net contracts per community increased to 30.4 and is approaching the 30.7 contract per community level we saw in 2013. This is certainly a step in the right direction and will hopefully continue or improve in the back half of this year. I want to provide a brief update on what we're seeing in Houston. Our profitability in Houston remains solid with gross margins and revenues expected to increase over last year. The margins that we currently have in our backlog remain solid and we continue to have pricing power in Houston. Turning to slide 14, you can see our quarterly net contracts per community in Houston for 2013, 2014 and 2015. With net contracts increasing to 9.1 per community in the second quarter of 2014, you can clearly see how white hot the Houston market was in the second quarter last year. While we do not believe it's related to the declining oil prices, our sales pace during the second quarter this year cooled to 6.9 net contracts per community. The decline in our second quarter sales pace was due to a combination of factors including a very difficult year-over-year comparison and the fact that we intentionally slowed down or stopped selling homes in certain communities where our land developers were significantly delayed in delivering those finished lots. Due to these longer cycle times, we were unwilling to guarantee a fixed home price to our customers when we could not lock in our construction cost. We remain cautious about the impact of lower oil prices on the Houston economy and will continue to keep a close eye on the market and any further developments we see there. On slide 15, we showed that the dollar amount of consolidated net contracts increased 5% year-over-year to $701 million during the second quarter. Assuming no changes in market conditions, given the growth in our community count plus the additional communities that we expect to open in the second half of 2015, we believe that we will be able to grow our revenues significantly in fiscal 2016. This gives us confidence that 2016 will be a solidly profitable and we will break out of our string of low or no-profit performance years. Turning to slide 16; it shows that our consolidated community count has grown steadily over the past two years. There's a lot of activity that goes into a net increase of 11 communities that we saw in the last year. During the last 12 months, we opened 97 new communities and closed out of 86 older ones. We expect to see continued community count growth as we move forward. Based on the community – on the growth in our community count and average selling price, the dollar amount of our backlog has grown compared to last year. On slide 17, we show the dollar amount of our backlog increased 12% to $1.17 billion from $1.05 billion at the end of last year's second quarter. You can also see on the bottom of this slide that the number of homes in backlog grew to 2,972 homes, up from 2,797 homes last year. This increase in backlog, combined with the community count growth, provides further evidence that we'll be able to continue to grow our top line throughout the remainder of this year, which we expect to result in sequentially improved quarterly performance. Turning to slide 18, you'll see our owned and optioned land position broken out by our publicly reported market segments. Our investment in land option deposits was $87 million on April 30, 2015, with $86 million in cash deposits and $1 million of deposits being held by letters of credit. Additionally, we have another $22 million invested in pre-development expenses. Assuming current market conditions remain steady, we continue to anticipate un-mothballing approximately 900 lots in fiscal 2015 in two locations, one in Natomas, California, and the other along the Hudson River Waterfront in New Jersey. As the housing market improves, additional communities will be un-mothballed in future periods. Looking at all of our consolidated communities in the aggregate, including mothballed communities, we have an inventory book value of $1.5 billion, net of $559 million of impairments. We've recorded those impairments on 71 of our communities, for the properties that have impaired, we're carrying them at 22% of their pre-impaired value. Another area of discussion for the quarter is related to our deferred tax asset valuation allowance. During the fourth quarter of fiscal 2014, we reversed $285 million of our deferred tax asset valuation allowance. We'll reverse the remaining valuation allowance when we begin to generate higher levels of sustained profitability. Back when we had a valuation allowance covering the full value of our deferred tax assets other than minor amounts related to federal or state tax reserves, any income tax benefit or expense was offset by adjustments in the valuation allowance, resulting in no income tax benefit or expense on the income statement. Now that we reversed a portion of the valuation allowance, income tax benefit or expense is reflected in the income statement consistent with how we reported taxes prior to having a valuation allowance. At the end of the second of fiscal 2015, our valuation allowance in the aggregate was $643 million. The remaining valuation allowance is a very significant asset currently reflected on our balance sheet and we've taking numerous steps to protect it. We will not have to pay cash federal income taxes on approximately $2 billion of pre-tax earnings. On slide 19, we show that we ended the second quarter with a total shareholders' deficit of $146 million. If you add back the remaining valuation allowance, as we've done on this slide, then our shareholders' equity would be a positive $497 million. Over time, we believe that we can repair our balance sheet by returning to higher levels of profitability and have no intentions of issuing equity any time soon. As seen on slide 20, after spending $108 million on land and land development during the second quarter, we still ended the second quarter with $312 million of liquidity, which includes $259 million of homebuilding cash and $53 million undrawn under our $75 million unsecured revolving line of credit. We once again ended the quarter in excess of our targeted liquidity range of $170 million to $245 million. Now turning to our debt maturity ladder which can be found on slide 21; red bars on this slide represent unsecured debt. We continue to believe that we have the ability today to refinance all of our unsecured debt that matures between 2015 and 2017. However, in order to reduce the high costs associated with the make-whole provisions, we have waited to refinance those bonds until we were closer to the maturity dates. I expect that we will likely refinance the 2015 and at least the early-dated 2016 sometime this summer. Because of the financial constraints that we had earlier in the cycle, we have less capital spend on land, and therefore, we're less aggressive on investing lands than some of our peers. But as you can see on slide 22, over the past 12 quarters, we have gained control of about 10,000 more lots than we actually delivered homes on and our land acquisition teams across the country continue to work hard to identify new land parcels to purchase today. We know the general timing of when these investments are going to come on-line as active selling communities. We're finally at the point where we will be opening up a lot of communities, which gives us confidence in our ability to grow revenues and profitability in 2016. With respect to the walk-away shown on this slide, our option deposits are typically fully refundable during the due diligence period. The walk-aways from the second quarter of 2015 resulted in only modest charges, primarily consisting of investigated expense incurred during the due diligence period. We feel good about our liquidity position and we'll continue with land purchases that meet our 25%-plus unlevered underwriting hurdle rates based on today's construction costs, today's home prices and today's absorption rates. Turning to slide 23, I would now like to discuss our expectations for the remainder of fiscal 2015. Assuming no change in market conditions, we expect to report total revenues between $2.2 billion and $2.3 billion for all of fiscal 2015. We expect our full-year gross margin for all of fiscal 2015 to be between 17.4% and 17.8%. We expect total SG&A as a percentage of our total revenues for all of fiscal 2015 to be between 12.1% and 12.4%. While we still feel good about our ability to grow the top line during fiscal 2015 and still expect to generate a solid profit during the fourth quarter, we do not expect it to be sufficient to offset the losses in the beginning of the year, including a loss in the third quarter. We expect the pre-tax loss for the full year to be between $15 million and $30 million. This is due to this year's decline in gross margin and a relatively high level of SG&A related to preparing for greater top line growth. I'll now turn it back to Ara for some closing comments.
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: We're not happy about the step backwards we've taken in 2015. As much as I'm disappointed in our results in 2015 thus far, we are expecting dramatically better results in our fourth quarter, which begins in August and continuing through 2016, which begins in less than five months. We're planning some aggressive growth for 2016. We believe we're well positioned for this growth based on our land position. We are growing our community count. Additionally, we're taking steps to improve the operating results of some of our weaker divisions. These steps include recent management changes, whittling down some of our older communities and new communities coming on line with better financial metrics. We believe the seeds we have been planting are going to pay off for us in 2016, which is why we're calling for a breakout year in deliveries, revenues and profitability. Any benefits we get from an improvement in the housing market will only accelerate our top and bottom-line growth. That concludes or formal remarks and I'm happy to turn it open for questions.
Operator: The company will now answer questions. And our first question comes from the line of Susan Maklari from UBS. Your line is open. Please go ahead.
Susan Marie Maklari - UBS Securities LLC: Good morning.
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: Good morning.
Susan Marie Maklari - UBS Securities LLC: In terms of the spec level, I know that you commented that you expect it – it's already started to come down and you expect that to further come down. Can you just give us some sense of how we should be thinking about a normalized level in terms of the number of homes per community?
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: Yes. Well, yes, we don't expect it to come down much further from where we are right now. The issue was not so much the absolute level of specs per community, but our distribution. Normally, in markets like Houston, we ran higher specs per community, but that market has been quite strong and we've been selling the homes early so we have actually fewer specs there. I think some of the mistakes we made, we had specs in areas that we don't customarily have spec homes, that'd be markets like Virginia or Maryland or New Jersey, so – and there the market was not used to as many specs. The market is not particularly strong and that's where we have to take some steep discounts to adjust it. So, it's a long winded way to say the issue is not the number of specs in absolute sense, but the balance in distribution between geographies and product lines. We also started a few specs more than we should have in retrospect on some of our higher-end communities as well. So, we think the key is more bringing in a balance than reducing the number further.
Susan Marie Maklari - UBS Securities LLC: Okay, that's helpful. Thanks. And then my second question is, you noted that in Houston things continue to be strong, but that you have had disclosed sales down where lot of deliveries have been delayed. Given the recent weather down there with the flooding and that situation, could that potentially get pushed further out and have further impacts to that market?
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: Sure. I mean they had an extremely wet spring and then they had the flooding that occurred and still fairly rainy. That's not helpful when you're trying to develop lots. So, the lots were already delayed and certainly the weather has caused further delays for developers across Houston as well.
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: Obviously, we're hoping the weather gets a little bit better, so the developers can catch up and get our land developed and delivered to us. In Houston, we are primarily a buyer of finished, developed lots.
Susan Marie Maklari - UBS Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Megan McGrath from MKM Partners. Your line is open.
Megan McGrath - MKM Partners LLC: Good morning. Thanks for taking my question. Some follow-ups on the gross margin. Just want to make sure that when I look at your guidance for the full year, looks like that implies, if I'm doing correct math, about 200 basis points in improvement by the end of the year. Do you – is that about right and do you expect that to come gradually or are we going to see sort of a big bump in the 4Q gross margin?
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: I think you're in the ballpark...
Megan McGrath - MKM Partners LLC: Yeah.
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: ...in terms of your math. Certainly, the fourth quarter is going to be stronger than the third quarter. You'll see sequential increases in the margin that's going to occur.
Megan McGrath - MKM Partners LLC: Okay, great. And then I wanted to follow up on your detail on the to-be-built margin differential that you broke out. Well, we heard from a lot of other builders, their commentary was that this was a reflection of the weak market at the end of 2014 rather than a commentary on the existing market. Would you agree with that, and are you expecting to see that margin improve as we go through the end of the year?
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: To-be-built, is that correct?
Megan McGrath - MKM Partners LLC: Yes, on to-be-builts.
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: Yeah. I would say that the to-be-built margins did decline in the latter half of 2014. That was a – kind of result of the slower sales pace that us and the whole industry was experiencing as compared to the better sales pace per community that we experienced in 2013. So builders were trying to get a disproportionate share, and the way they did that was offer incentives and concessions. I'd say that's been mitigated for the most part this year as the market has shown some strength. So, I think most of the decline in margins related to to-be-built homes is probably either in backlog or already been delivered and that we're seeing slightly stronger to-be-built margins as we move forward.
Megan McGrath - MKM Partners LLC: Okay. Thanks very much.
Operator: Our next question comes from the line of Michael Rehaut from JPMorgan. Your line is open.
Jason A. Marcus - JPMorgan Securities LLC: Hi. Good morning. It's actually Jason Marcus in for Mike. The first question, I was hoping you could talk a little bit more about the overall demand environment. I know you talked about gross margins being below your expectations, but in terms of sales pace, obviously it declined about 4% or 5% during the quarter, and I just wanted to see how that compared to your expectations as you look across different regions throughout the company. And then, furthermore, as you look into 3Q, can you just talk about how you're balanced on price versus pace?
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: I think, again, as I tried to explain, when talked in the script about sales pace, it's partially impacted by tougher comparison we created for our self last year when we did our national sales promotion. So that's part of the answer, but in terms of expectations, I think the candid answer is, we really thought kind of leading into January, sales all the way through January, monthly year-over-year net contracts per community had shown a positive trend for four or five months in a row, and that gave us great optimism that the spring selling season would continue that kind of a pattern. So we were disappointed when February showed a decline. I think we talked about that a little bit during last quarter's conference call. March, that decline didn't surprise us quite as much, but our expectations, being optimists, probably were still that even March would show at least even if not a slight improvement year-over-year. So, I don't know if that is responsive enough to your question but that's kind of my macro view of it.
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: Yeah. Just overall adding to that tone, in the first quarter, the actual first quarter months November, December and January, as you may recall back on slide 12, our contracts per community were up every single month, but we did report the first month of next quarter February which was down. We – as it turns out, as you know, now it's in the results, February and March were down. But the good news is unlike last quarter where we began with a negative month, this time we ended the quarter in April positively and we began with a very strong May. So, we're optimistic that this is more of a trend in the positive direction. However, as you can obviously see, for us, we've seen the market being choppy overall in our markets. We're hoping some of that choppiness ends, but it's hard to tell. We didn't expect it in February and March to the extent that we have the downward comparisons, but we're pleased that April and May are up strongly. As we mentioned in dollar amount of net contracts in May, it was particularly strong with $213 million compared to last year's $179 million. So our recent results, we're very pleased with.
Jason A. Marcus - JPMorgan Securities LLC: Okay, great. And then just next question quickly on the land market. If you could just talk about what you're seeing there in terms of the competition and pricing from a regional perspective and if you had to adjust your underwriting criteria?
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: No. The underwriting criteria is about the same and I can't say there's been any great change in competitiveness on the land deals. As you could see, we really have to do our due diligence, you saw on one of the slides many of our initial options don't withstand the due diligence process. You have to be extremely careful in this environment. And we're remaining true to our discipline and trying to be very analytical in our new acquisitions, which are critical. But on the whole, I'd say the market is balanced. We're finding opportunities as we need them. 2016 is basically all purchased or at least optioned and controlled and in contract. So we're today just working to build our 2017 and that includes counting on significant growth for 2016.
Jason A. Marcus - JPMorgan Securities LLC: Okay. Thanks.
Operator: Our next question comes from Nishu Sood from Deutsche Bank. Your line is open.
Unknown Speaker: Hi, good morning. This is actually on for Nishu. My first question is regarding gross margins. Can you shed some light on why you consider 20% to be a normalized gross margin and do you need pricing power to get there?
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: The reason we consider 20% to be a normalized gross margin is we showed some longer-term history of our gross margin. I'm not sure exactly which slide it is. Jeff will look it up as I'm speaking. Between 1997 and 2002, when it wasn't kind of a boom market or a bust market, we averaged just around that 20%, 21% gross margin. We consider that a normalized gross margin. We actually achieved that gross margin in 2013 and 2014, so we don't really need pricing power per se. We just need our communities; our new communities coming on line should be averaging in that regard. We need the market to hold up to where builders aren't offering as much incentives and concessions as they did in 2014. So I think we'll get back to that 20% over time.
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: I'll add that obviously during the stronger markets, we have registered gross margins far in excess of that. In fact, I think, in 2004 and 2005, we had 25% and 26% gross margin. So, certainly, it's capable of exceeding 20% which is about where we consider normalized. Right now we're just anxious to get back to our normal levels.
Unknown Speaker: Okay. Thank you. And then my next question is, can you shed some more light on your backlog and why you're confident that you'll see higher margin in the back half of the year? What factors are going to drive this?
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: We can see the numbers as we sell each house, what the margin is, and we can see what our margin is actually in backlog across the country. And we know what month those are expected to close in. So, we have pretty good visibility and transparency and that's what gives us confidence to make the statement. We did about margins improvement throughout the rest of this year.
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: Yeah. Now, the one caveat is that we do sell typically about 25% of each quarter's deliveries during that quarter. Those are specs. And last quarter as we had announced, we were planning to discount the specs and ended up we discounted more than we planned, so we came in a little lower in our gross margin than we had anticipated. At this time, we are seeing the spread narrow on our specs. So we're feeling better about that trend. Still we haven't sold all of the specs that we typically don't for the quarter deliveries, but we just don't anticipate any negative surprises this time based on the current environment.
Unknown Speaker: Ara, thanks.
Operator: Thank you. Our next question comes from Alan Ratner from Zelman & Associates. Your line is open.
Alan Ratner - Zelman & Associates: Hey. Good morning. Thanks for taking my questions. Ara, as I kind of listened to your commentary, I definitely hear the frustration in your voice just about the recent performance. And I think while all builders agree the recovery hasn't been as robust as we would have expected a few years ago, I think it is fair to say the market's in a materially better position today than back in, say, 2012. Yet your metrics are pretty similar now versus what they were back then. So I guess my bigger-picture question to you as you sit here today and you think about Hovnanian's outlook, I was curious if there's any consideration being paid by management and the boards to a more material strategy shake-up. I know you mentioned the recent management changes at the local level, but was curious is there any consideration to exit weaker-performing markets, sell off some land to shrink the balance sheet, even bringing in an outside consultant to kind of help out craft that longer term vision of the company as some other builders have done over the last few years?
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: I appreciate the comment and, yes, you do correctly hear frustration in my voice. But we think we see the path to improvement and we think it's upon us. If we don't meet the positive fourth quarter that we believe we've got with dramatically better results and if we don't kick off 2016 with positive results, and I think we'd look at something more significant. But really we're employing the same strategies, in general, and how we manage that led us to industry-leading performance in the last up-cycle in 2004 and 2005, with largely the same senior management team in place. We not only outperformed almost every single public builder in those two years, but we actually were number two on the Fortune 500 performance in terms of return on equity and growth and profit. So we think we know what we need to do and we don't think the fundamentals have changed that much. Obviously, we were hampered by the mistakes that were made before the downturn, and we've been saddled with some of those mistakes that haven't given us the same flexibility that some of our competitors have had, but we've gone through that. We weren't able to quite do the land purchases we would have liked that some of our competitors did, but we have made some great progress. We've got a lot of communities opening, and we think that performance should be turning around shortly. We look forward to reporting much better results, particularly beginning in the fourth quarter and going on from there. It's only a few months away.
Alan Ratner - Zelman & Associates: Great and I appreciate it. Thanks very much.
Operator: Our next question comes from Susan Berliner from JPMorgan. Your line is open.
Susan Amy Berliner - JPMorgan Securities LLC: Hi. Good morning.
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: Good morning.
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: Good morning.
Susan Amy Berliner - JPMorgan Securities LLC: I want to start, I guess, with land spend. I was wondering in light of the upcoming debt maturities if you may be looking to reduce land spend. I know if you go back to 2011 and 2012, you guys were closer to $400 million and had about $600 million last year?
J. Larry Sorsby - Chief Financial Officer, Director & Executive VP: Sue, if you'll recall, on the last quarter's call when we discussed after raising $250 million of debt in the first quarter, that we took some near term steps in order to more fully deploy that cash. Those steps allowed us to avoid that negative arbitrage of paying interest both on our new debt and interest on items such as non-recourse mortgages, model sale leasebacks and banking arrangements, et cetera. And we also said that we would reactivate those programs when we decide to increase our liquidity or deploy additional cash to grow our land position even further. And actually, in the second quarter, towards the end of the second quarter, we reactivated some of those programs, so the $108 million land spend is artificially low. And the land spend that we had in the first quarter, I don't recall exactly what it was, it was probably a little bit high. So if you average our spend over those two quarters, that's kind of what our quarterly spend has been without the white noise of some of those actions we took to reduce interest costs. So we've really been steady on our land spend, I guess, is what I'm really trying to convey.
Susan Amy Berliner - JPMorgan Securities LLC: Okay. And then if I could just turn to market, because I guess I'm still a little confused on the slowdown and absorption pace, and I know you had some in Houston. And I was wondering if you could talk about some of your other large markets, whether it be D.C., New Jersey, Chicago, et cetera?
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: Sure. Well, the strong markets overall for us continue to be up, in addition to Texas, the Northern California, Silicon Valley suburbs where we've got communities there, a particular community, a large one with two product lines where we have people camp out and we literally sell out the morning we release the homes. That market has been particularly strong and we're about to open another new and large community there as well. So we think that's going to be beneficial. The D.C. market, overall, has been sluggish compared to where we'd expect it to be at this time in the cycle. Clearly, sequestering is taking its toll and employment has not been as vigorous as it used to be. So that is not giving us the punch that we normally have. In the Northeast, that market has just not recovered as vigorously as other markets have. However, some of our newer communities that we're able to purchase at a solid basis had performed very well. So we're anxious as we continue to open new communities to get a bigger mix of our new communities compared to the old legacy ones in the Northeast, and we think that alone will improve our performance. And finally in Florida, in Southeast and Orlando in particular, they're very strong markets. We've got several communities under way with land development. We're just anxious to get the models open and open for sale there. We think that will be very helpful. We've got some good properties at a good basis, and we're just anxious to get land development done and models built to open up.
Susan Amy Berliner - JPMorgan Securities LLC: Okay. Thanks very much.
Operator: At this time, I'd like to turn the call back over to Mr. Hovnanian for any closing remarks.
Ara K. Hovnanian - Chairman, President & Chief Executive Officer: Thanks very much. Listen, we understand disappointment in the results. We're disappointed, but we look forward to reporting better results in the very near future. Thank you.